Operator: Good day, ladies and gentlemen, and welcome to the Quanterix Corporation Q3 2018 Earnings Call. Joining us today are Joe Driscoll, Chief Financial Officer; and Kevin Hrusovsky, Chairman and CEO. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operation Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to Joe Driscoll. Sir, you may begin.
Joe Driscoll: Thank you. Before we begin, I would like to remind you that today's call will contain forward-looking statements that are based on management's beliefs and assumptions and on information available as of the date of this call. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements. Forward-looking statements involve known and unknown risks, uncertainties, assumptions and other factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. The risks and uncertainties that we face are described in our most recent filings with the Securities and Exchange Commission. This call will also include certain financial measures that were not prepared in accordance with U.S. GAAP. The information required by the SEC pursuant to Regulation G including reconciliation of the non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in our earnings release issued previously today which is on our website. With that, I will turn the call over to Kevin.
Kevin Hrusovsky: Thank you very much Joe. This has been a pretty impressive quarter for us as we continue to build out the company. I've actually created a few extra slides for this particular communication to provide a little bit more clarity around some of the dimensions of our growth as we continue to build out the franchise. So at first, I'd like to say I'm going to start off going through highlights and then I'll peel the onion back around our goals and our priorities and how we're doing opposite those. But I would like to dedicate a portion of this presentation to neurology where we are making a major inroads. We'll then turn it back over to Joe for a financial recap. And I'll say a few words about our longer term strategic direction and we'll do Q&A So to start on our highlights, first the instrument and momentum were incredibly strong for the third quarter, which is our fourth quarter after being IPO back in fourth Quarter of 2017. We've also had strong growth with new products, publications continue to go at a very rapid pace, many studies further validating our technology across all the pharma biotech and we continue to expand our menu faster than we anticipated, primarily because of a strategic acquisition we did earlier this year. And we continue to get a lot of industry awareness around our technologies. We've been growing our share position in pharma and academic and we've also continue with this breakthrough in one of our biomarkers called neurofilament light. Our ability to see this in serum at hundred to thousand times greater sensitivity than most technologies in the world enables us to see this in serum, which is a big breakthrough. We actually presented to the FDA a few weeks ago standing room only for that presentation and we went with big pharma and biotech to help further teach the FDA around this incredible new tool of being able to see in the blood semi non-invasively brain health. So the publications as a result of a lot of our activities continue to expand and they are accelerating. We had 40 publications in just Q3 that were up to nearly 300 publications and 150 of them nearly over - actually half of them are in neuro. And we've also continued to work very hard advancing what we consider to be the next generation planar technology, which we were further able to accelerate again based on the acquisition that we did earlier in the year brought in some important R&D resources and technologies to further advance our planar programs. We are actually anticipating launching a 10-plex in the first half of 2019 and work test betting that by the end of this year that technology and it is showing very solid promise. We also had commercial expansions continuing a major growth callouses the selling organization, which continues to be primed and taught new ways of selling. And believe or not many of our investors are playing a key role in helping us position our technologies throughout pharma and biotech, where they also own positions. We've also very importantly a few weeks ago regained all of our IVD rights back from bioMérieux, which was a major headwind when I joined the company 4 years ago that we've worked very productively with bioMérieux and field it. At this moment, we're able to get all these rights back and continue a very strong relationship with them and they continue to be a large investor in Quanterix. So those are some of the key business highlights. From a financial perspective, we grew 85%. There was a onetime in there associated with the bioMérieux contract that if you take that out, our growth was 61%. Our year-to-date growth is 64%, remove the one time, it's 56%. Importantly, our margins are continuing to accelerate because we're growing the fastest in our highest margin leverage to business. Consumable growth was at 100% this past quarter year-over-year for Q3. Our gross margins have continued to expand 52.8% in Q3, which is an 820 bps improvement, 140 bps adjusting for that one time event that occurred with the revenue from bioMérieux. But year-to-date, it's continued to expand as well at 400 bps and 130 adjusted for the onetime event. Record level of instrument utilization is key. We went into the year saying that we would achieve $50,000 per instrument on the HD-1s and that would been up from mid-40s, low-40s last year. But we've been able to actually get year-to -date all the way to 60,000, so we're way ahead of schedule. Again some of these neuro markers and the panels for neuro is really helping us accelerate that growth. So overall product revenue grew 83% in pharma and 79% in academics and our instrument growth accelerated in the second half of this year actually in starting in Q3 and that's following 3 years of flat growth. And so we've been expanding our installed base very systematically with our instrument sales, but they've been fairly flat on a revenue basis. This is the first time we're now seeing acceleration of our instrument installations. So that's going to further enhance future growth prospects for consumables. The next slide is a high level slide that you've seen in the past but it shows our growth and how consistent it's been for the last 4 years. And you can see our year-to-date 2018 bar already looks like a 4 year bar, but that's just a 3 quarters bar. And you can see that the 4 quarters post IPO, which I think are pretty important are highlighted in red and we were minus 1% the first quarter out of the gate and back in fourth quarter of 2017 and then we grew 41%, 66% this year or this quarter Q3 85%. So we like the acceleration. And on the right hand side top, you can see we're showing that the breakdown of instruments, consumable services and other. And you could see our growth in consumables at 92%, and that's now 37% of our company and instruments grew at 23% year-to-date number which is actually 23% of our business. But if you look at Q4 at the bottom of the slide, you'll see our instrument growth was even more robust at 58% and our consumable growth was at 100%. So we're continuing to move the needle very productively around the installs and the pull through giving us a lot of visibility for the future. I think it's key and we've said this for the last 4 years as we've raised a lot of money through private rounds and through the IPO, there are some key driver metrics that we really have put a lot of interest and investment on. And these are the three, publications, markers and the accelerator which is our services business. And you can see the evolution of our publications, we're almost up to 300 at this point, but most importantly there's a 156 currently in place for neurology. And you can see that we've almost doubled the number of publications over last year's accumulated and just the first 3 quarters of this year. That is the feeder for a lot of the scientists around the world to utilize our technologies because they learn about it through these third party peer reviewed publications, validating the technology. And that's led to biomarkers, the ultrasensitive biomarkers which is our consumable. We're now up to 207 different biomarkers have been run, most of them in neurology 99 but you can see 63 now in oncology and that's the next wave for us is moving into oncology. We'll speak about that in a moment. Then the accelerator all the studies that we've been running, you can see all those studies about a third to a fourth of the study's lead to customers buying instruments following the studies but it's actually the highest gross margin segment of our company as well. So we see this as a pretty important indicator. And you can see that we also now in red are running drug trials in our own facilities and up to 38, you can see it accelerating. That's the CRO CLIA lab that we bought from Aushon and the acquisition back in January this year is enabled us to further expand into these drug trials. And on the right hand side, you can see that those key drivers have led to the results of our instruments continuing to increase the installed base. And when you look at the red, you can see that the actual growth of the revenue of instruments is also expanding very nicely. And on the right hand side, you can see that that translates into this very consistent consumable growth expansion that's occurred. And on the red line, you can see that our growth has gone from about 30% up to more like 70% to 100% the last 4 or 5 quarters. And so that's that consumable growth that we're very excited about. This slide just shows the breakdown from a geography the customers in the disease states. And you can see that our growth has been strongest in North America and Europe, but we will be building out Asia as we continue to build our distribution channels there and there is a lot of opportunity particularly in China. And on our customer groups, we're still growing the fastest in pharma biotech because of our FDA linkages to getting drugs approved. And then on the disease states, it's primarily neurology but you can see there's a lot of growth now currying in oncology. But 93% of our business is now oncology and neurology and that combined sector is growing at about 94%. So that's a big piece of our future franchise. We've taken our goals and priorities for 2018 meant to revenue and the various components below a gross margin, new products, commercialization and validation. And across the board in almost every category, we're ahead of schedule on the goals that we set for the beginning of the year. And you could see in the category of revenue, our growth is occurring much faster and we've got a lot more utilization of the instruments which is a key to the expansion. And we are also on the gross margins improving primarily because of the leverage of higher consumable sales, but we also continue to work for cost efficiencies in the way we evolve our product lines, particular as we move to multiplex. In new products, we launched the SR-X at the beginning of the year and we've done extremely well selling that 50 SR-Xs. And they were primarily providing 1-plex, 2-flex and 4-plex, we are working towards a 6-plex offering on the SR-X as well. We looking to launch this new we'll call it bench top planar technology for oncology next year, the first half of next year. Test bed starts by year end. That will allow us to do 10-plex. And you can see that that's moving nicely and we're very excited about the acceleration that we've been able to put on that technology. And from an assay standpoint, we were able to get ahead of the game because of the acquisition of Aushon and also the CLIA lab enabled our services. And the commercialization and expansion is primarily benefited by us getting all of our rights back that significantly increases our TAM and our ability to address that TAM to create value. And validation is a key area for our success. And you can see the number of publications, the number of pharma that are using our technologies, the number of Phase I, II, III trials and the number of CROs using our technologies across the board either on target or ahead, allowing us to ramp up our celebrated growth. I'd like to close this section of the conference call describing our neurology franchise. I've shown before this slide around all of the publications that have occurred and how we got a lot of exposure on Good Morning America, one the Head Health Challenge with the NfL a couple times, but that led them to the movie concussions gave us a lot more exposure to a new biomarker NfL, which is a coincidence and that's led to a lot of pharma biotech across the board in neuro if they're trying to stop neurodegeneration with the drug, seeing the ability to do that in blood non-invasively is what's creating a lot of the exciting growth opportunities. And these publications are the underpinning of a lot of that growth. And you can see on this next slide just how rapidly there's been an acceleration of NfL publications. And the next slide basically describes our value proposition. And that is that most drugs have a lot of toxicity associated with them. It's a high reason for deaths in United States are adverse events to drugs. And on average they only work about 50% of time and in some categories like cancer they only work 25% of time. And then the center, you can see that if a company gets a Phase I drug approved which shows those bars. After they get that approval, it shows the percent chance that they can translate that into the Phase III approval. And for cancer, it's a very low percent, nearly only 5% of drugs make it. Once they've got Phase I approval through it Phase III. But if they use biomarkers, there is a 300% acceleration of the probability they're going to get these drugs through because of improved safety and efficacy. And so going from 8.4% on average to 25% has led to all the drug trials on the right hand side where you can see that there is now 32 CRO Simoa in place, 10 of those by the way are inside of our company and you can see that we've now run 38 trials. But just rules based medicine alone is around 650 Phase I, II, III trials and you can see the summation at the bottom right corner. So another key macro trend it's really further fueling our business is that the FDA is very much now getting behind biomarkers. They have a major initiative to be able to see diseases earlier when you can use a drug at a much lower dose to keep the drug much safer because it's at a lower dose to actually treat the disease. If you can get to the disease long before symptoms that makes the drug much more easy to get approved, to be effective and to be safe. And so because of those reasons, the FDA is continue to put out guidance supporting the use of biomarkers. If we now narrow into where we're really creating a lot of our value, it's in NfL neuro serum non-filament light is the biomarker. And this left hand side of the slide shows multiple sclerosis. There is currently 62 trials underway to stop the neurodegeneration of multiple sclerosis. And measuring NfL blood determines based on a lot of publications that level of damage and whether or not the drug is having the desired effect. And so right now, there's 10 - we estimate there is 10 different trials of the 62 that are using our serum NfL markers and on the right hand side, you can see there's already been $22 billion worth of drugs approved by those companies also their ticker symbols. And those companies are also very interested to make sure those drugs are already approved are being applied to patients in a way it's working for patients and they can figure that out much earlier in blood than finding out later and brain atrophy imaging. And so the longer term, we think that these abilities to see NfL is going to play a role even in today's already approved drugs and ensuring that the right drug for the right patient is benefiting them the most and trying to keep them as patients out of wheelchairs. So this next slide is a recent serum and it's all research slide that basically shows the European Committee for treating and researching multiple sclerosis, it just happened in October and we had a small booth but we were just completely jam. But you could see the acceleration of all the publications from these companies over that 3 year period 2016, 2017 and 2018 and now with [indiscernible] [0:18:12] having so much interest in NfL, it's further allowing us to talk with the FDA and further build it out as the clinically validated disease progression marker. And that's our goal over the next couple years is to get that approval. And you can see that when you look at MS on the next slide, this is a disease that there's about 2.5 million people today and they are getting one to two MRIs per year at a cost of $3000. And so there's a large expense today looking at brain atrophy through imaging which typically will take maybe 3 to 4 times longer to see than what you can see in the blood and that's the key opportunity area that this slide is trying to unlock. More importantly, NfLs is being looked across almost every disease category as well as other biomarkers which you can see on the right hand side in our franchise of neurology biomarkers now expands its complete list on the right. And all the diseases in the middle that there's now publications linking. And the reason this slide is significant is because of this next slide where you can see that MS's got this rapid first mover advantage for using NfL, but these other diseases already have publications coming in and these are future ways within neurology and those diseases are significantly larger than MS. MS is actually a very small disease. So that's why we're viewing this as a very early stage of our build out of NfL neurofilament light to support the pharmaceutical industry to drugs approved. This next slide just shows you that we have 5 different categories of growth catalysts that we're trying to apply as we move into 2019. Starts with new products that are listed here we've mentioned them already. And the world of commercial, we're expanding our TAM through the getting the rights back. The FDA work is advancing the role of sensitive biomarkers, the trials, the pharma services that we've entered even having investors helping to sell, we feel we're capturing the leadership role in this landscape. And strategically we've actually got the rights back, we've done a deal of blood screening with Abbott further validating the technology and we're working now with several LDT expressed a lot of interest in further building out LDT rights. The Aushon acquisition has been very productive in accelerating our movements on oncology and planar, which is our next wave. And then awareness has been key and we're also continuing to sponsor PPH. And the next PPH will be held in the Netherlands in December on December 12th. And so if there is any interest, please let us know, we'd like to have - we're going to have a lot of its keynote speakers around neurology and oncology further evidencing precisely through publications third party peer reviewed publications how we were advancing that field. So that's the summary of what I'll call the current operations and strategy. What I'd like to do now is turn over to Joe for a peel back of our actual financials. Joe?
Joe Driscoll: Thanks Kevin. As Kevin noted, revenue in Q3 of 2018 was $10.6 compared to $5.7 million in the prior year which represents 85% revenue growth. Excluding the onetime revenue item of $1.3 million, revenue growth was still very strong at 61%. Product revenue which includes instruments and consumables grew from $3.3 million to $6 million, an increase of 81%. The main driver was the 100% increase in consumables. Instrument growth was also strong at 58% plus there is a solid backlog of orders which will ship in Q4. Service revenue increased 39% and this continues to be a major focus area of our business going forward including the utilization of the CLIA lab which we acquired with the Aushon transaction. Collaboration revenue was $1.6 million, which includes the onetime item of $1.3 million. Note that there will be no more collaboration revenue going forward unless we sign a new deal since we have recognized all revenue from the bioMérieux agreement as of the end of Q3. Year-to-date total revenues are $26.8 million, a 64% increase. Adjusting for the onetime revenue item, year-to-date growth is 56%. Gross margin percent in Q3 was approximately 53%. If you exclude the onetime item, normalized Q3 2018 margin would have been 46% versus 45% in the prior year. The increase over prior year was due to a positive mix of consumables revenue during the quarter. For Q4, we estimate that despite a slightly unfavorable mix from the loss of collaboration revenue, gross margin will be in the same range as the normalized 46% recorded in Q3, due to improvements in other areas. This compares to 44% gross margin in Q4 2017. We believe we have a significant opportunity for gross margin expansion in the future as we scale our overall business, reduce product costs and continue to drive the mix to more consumables revenue. Operating expenses before stock compensation expense totaled $11.4 million in Q3 versus $8.4 million in the prior year. We are attempting to accelerate the growth trajectory of the business by making significant investments in the commercial team and the infrastructure required to support our growth. The main drivers of the Q3 2018 increase include increased headcount in sales and marketing, plus additions in other key areas of the business. Payroll and other costs related to the Aushon transaction, new product development costs and public company costs. We will look to continue to add to our commercial organization and other key areas of the business over the balance of 2018 and into 2019. Stock comp expense which is a non-cash expense was $1.8 million in Q3 versus $600,000 in the prior year due to additional grants made in 2018. The growth of the business and the employee base has created the need for more space. In early October, we signed a lease for a new corporate headquarters with the approximate commencement date targeted for April 1, 2019. On a cash basis, there will not be a significant impact in 2019 because we will pay reduced rent for the first 18 months. However on a P&L basis, there will be incremental non-cash occupancy cost for fiscal 2019 of approximately $2 million since the accounting rules require that we straight line the expense for the total rent payments over the life of the lease. The balance sheet is in good shape as of September 30th with approximately $52.4 in cash of which $1 million is collateral for the letter of credit we issued to the new building owner as a security deposit. There was a final payment of $800,000 related to the Aushon acquisition made in Q3 which was initially held back at the close of the deal. Weighted average shares outstanding for EPS totaled 22 million. We project the weighted average shares to be in the range of 22 million to 22.5 million for full year 2018. Overall, we are pleased with our Q3 performance and are committed to delivering solid 2018 results in line with expectations. I'll now turn it back over to Kevin.
Kevin Hrusovsky: Thanks Joe. Before we take questions, just want to summarize on the slide that you know we do feel we have an unrivaled sensitivity which we're committed to continue to invest in and continue to expand. We see great opportunities for even the next generation of post translation of modifications of proteins that will even be smaller subgroups and smaller abundance levels. So this is an opportunity for us to grab the leadership and continue the leadership. We also are being very methodical in the way we're approaching this market and going after the initial research organizations first where there's no regulatory reimbursement risk and we're doing it very systematically. And we're working carefully so of all the crossed in a longer term into diagnostics but we're using drug development as a very strategic way to look for companion diagnostic opportunities to make that advance. And finally and most importantly for market, we're validating our technology with 23 to top 25 pharmas now using it. Utilizing Powering Precision Health Summit as a way to sponsor from a Quanterix standpoint. Those actual innovators that are using the technologies with the investment groups that are investing in it. And all of the trials that have been run over 800 of them and the publications are now nearly 300 given the strong validation that we have a technology that's got a lot of stickiness in this marketplace. It's also got a very strong razor blade or KK Cup type of opportunity here because of the pull through of the consumables. And we've made a lot of investments that we think create a lot of barriers to entry to kind of perfecting the democratization of this technology through around the world. And we're continuing to work hard, bringing in some of the top leaders around the world to support an incredible board, some of the strongest investors, some of the more prolific founders in the life science landscape. And so in closing, I would say that the Quanterix team, we just had our commercial meetings this past week, we had all of our people in from around the world, we are very forward-looking around the opportunity and we're very aligned. But most importantly we're very inspired on the impact we can make for the world, not just in neurological disorders but also on oncology. So we're very driven by the opportunity ahead of us. So that we'll open it up for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Puneet Souda of Leerink Partners. Your line is now open.
Puneet Souda: Yeah, hi Kevin and Joe. Thanks for taking the question. First of all, just wanted to clarify in terms of the product service and collaboration revenue. The collaboration revenue seemed outsized this quarter, just wanted to clarify that it won't to be the case going forward if I look at that the beat was maybe 0.5 million and just wanted to clarify that point? And then Kevin, if you could provide any backlog numbers for SR-X or HD-1s from this quarter that would be helpful?
Kevin Hrusovsky: Yeah. So Puneet, I think you hit the numbers right. Regarding the one time effect, you remove it, there was a beat of about 0.5 million and maybe a little higher than when you remove that. But in addition to that your question around backlog, we don't disclose backlog as you know Puneet, but I would say that you know the place that we probably have the most potential to manage with a lot of backlog visibility would be our services business. You know when we get instrument orders as well as consumer orders, especially with the kind of say demander is for getting some of these neurodegenerative markers and drugs approved. We really don't have as much opportunity to really drive backlog in those categories without impacting the timelines of our customers. So we do have backlog in those categories, but I would say the services where we can really see the biggest backlog levels.
Puneet Souda: Okay. And then just on terms just bioMérieux, I want to understand longer term, what does that do for you and I just want to get a better view of what you could not do before and what you're able to do now going forward? And then my second question is just around the planar technology, is that you know in terms of expansion of a market like how are you thinking about that just if you could provide details on the both of those answers?
Kevin Hrusovsky: Absolutely. First on the bioMérieux, you know basically the company probably 6 years ago 7 years ago entered into an exclusive relationship for IVD diagnostics, which includes LDT and point-of-care all aspects. And so basically bioMérieux, you had a lot of the commercialization rights for the technology. And that limited our ability to get to market particularly when you consider that their company is primarily infectious disease with some immunology. We're doing a lot of work in neurology and oncology. And so the fit wasn't perfect and so we felt that it was important to get our strategic degrees of freedom. So there's nothing at this point limiting any pathway into diagnostics which that hampered us. And so even with LDTs, we've got 22 to 24 some always now in CRO/LDT companies. These would be large reference labs et cetera that would like to utilize and further evolve the technologies. It gives us a lot more freedom now to sign licensing agreements with them, also gives us the freedom ourselves to run these trials into be limitless as it relates to running LDTs, as well as even some day IVDs. So it's more strategic degrees of freedom at this point as is a key to the future value creation that a lot of investors felt was a major headwind when I joined 4 years ago. And we were fairly committed to finding ways to unleash and unlock some of that value creation opportunity. The TAM for diagnostics is about 10 times the size of the TAM for research and that's why it's important. It's more like 30 billion for diagnostics and probably there's some estimates could be as high as 50 billion versus maybe 3 to 5 to maybe 8 at max for research markets. And so that's the criticality for being able to have that strategic freedom. Now moving into oncology versus neurology, we think neurology has been an incredible place for us to show our value. But with the amazing size of the oncology market which we estimate to be 3 to 5 times the size of neurology and the number of cancer drugs that are attempting to get to market. And with all these new immunotherapies that you really do want to look at these cytokines and you want to understand whether the drug is creating the cytokine storm or is it actually having the proper effect. And given that many of these drugs only have 20% percent response levels. It's an incredibly right area for ultra-sensitive digital biomarkers. The challenges is that you need to do multiplexing to be successful in that segment. And so we were investing heavily in planar technology to enable what we would consider to be 10-plex plus. It's an important way to do research and ultimately diagnostics we think an oncology. And so buying Aushon in January allowed us to further accelerate those developments and bring a lot of the sensitivity to that multiplexing and that's a lot of what we've made the advance. And so we will be entering into the oncology field with a much more robust offering, so that field is 3 to 5 times the size of neurology. And we think with sensitivity, it's actually as suited as neurology for sensitive. So we're pretty excited about the promise of bringing out a very simple platform into that landscape which we project will do in the first half of 2019 assuming that our test bed which we're just starting and we committed to have by year end continues to evolve. And I think I showed in the last one webinar we had 3 customers that are already deploying this planar technology with us in a very productive way with incredible pull through with really good economics. We're pretty excited about the possibilities there. You still there, Puneet?
Operator: I'll go ahead and clear him out. I believe he's done asking his question.
Kevin Hrusovsky: Okay, great.
Operator: Our next question comes from the line of Mark Massaro of Canaccord Genuity. Your line is now open.
Mark Massaro: Hey guys, thanks for taking the questions and nice quarter.
Kevin Hrusovsky: Thanks Mark.
Mark Massaro: I guess my first question is, can you give us a sense, I appreciate all the color on the SP-X development. But can you give us a little bit of context as to the collaboration with OncoGenesis, maybe give us a sense for how far away the iPap collection might be from potentially hitting the market?
Kevin Hrusovsky: Yeah, you know Mark, I would say that we've tried to stay steadfast in making any commitments around our diagnostic franchise. But we said that we would continue to make smart investments into that landscape to try the bridge across into diagnostics, but you know there's plenty of value creation in the landscape of no regulatory reimbursement risk research. So let me start the answer by saying that we remain committed to that. But the OncoGenesis represent it's an opportunity for us to look at cervical cancer in a very new way using biomarkers. And to do that with a company that's got some level of extraction FDA approval already established and basically it's given us a chance to see if our technologies can be deployed productively in that landscape that primarily focused on third world opportunities for cervical cancer. And so it's a place for us to learn because what they really want to do is get FDA regulatory understanding of the technology as well as the efficacy for these biomarkers. And so I would not put any emphasis on short term returns from our move with this, but we did want to make sure investors were aware that we were making investments into diagnostics, it's a very minor investment this point trying to do it through partnership.
Mark Massaro: Great. And you know your pull through on the HD-1 is certainly tracking ahead of expectations now at 60,000 per box per year. Can you give us a sense you know as we think about our model, should we be thinking of potentially $10,000 lift per year or how should we be thinking about the opportunity long term and do you have any particular goal as we look out?
Kevin Hrusovsky: So Mark, as you know we are trying very hard to protect our credibility for never misleading or creating expectations that can't be achieved. And what we said was we would go from the 40 to 50 this year and basically we've outperformed that. We don't at this point project that there is a significant increase beyond this 50 that we're willing to make any levels of commitment, so even though we are currently performing at a level much higher than that. And I would say that we have several customers in installations that are probably tracking 2 to 3 times that. So we do know that our instruments HD-1 are capable to pull through as much as a couple 100,000 per instrument. But you know how far we go really depends on the mix of the buyers in the way they're utilizing it. So what we're always trying to come up with is a way to say on average and now that we're accelerating our installed base of the HD-1 and the SR-X, we want to make sure that we don't get ahead of ourselves in any kind of growth projections that we can't hit or see. So 50 feels very, very comfortable now. We would never at this point suggest on anything beyond that. We do think however that there's promise and it's definitely ahead of schedule. So I would keep it where it is but understand that the risk profile now is pretty much gone way down as a result of our performance. And the menu expansion, it's a combination of you know customers getting used to the technology plus us having more menu that they're interested in.
Mark Massaro: Great. And I know that you acquired a number of assays I believe in the Aushon acquisition, can you give us a sense on how many of those you expect to kind of go live and maybe start contributing to revenue into 2019?
Kevin Hrusovsky: Yes, you know it's an interesting question because we bought a lot of assays and we also built a whole new organization under Dawn Mattoon who is a so amazing woman had joined us about 9 months ago running a lot of our we call it our strategic marketing but also our assay technologies. And she came from cell signaling where she had a lot of antibiotics research experience led to the research organizations. And so the whole area of continuing to expand our menu required us to validate what we bought first and to really take a strong look at all the antibodies pairs that was being used by Aushon in the different ways in which they were using it. And I can only tell you that the speed - our company is so fired up right now on so many different fronts that the speed of everything we're doing is more like dog years versus people years. And I can say that we've already found probably 23 to 25 assays that customers are already using very productively as part of our test bed. So that is a real exciting first move that we could disclose today. Moving forward you know, I would like to think that there's going to be hundreds of combinations of assays opportunities that we're going to be able to roll out as we move into the SPX type of planar technology because it is given us this breath of menu which we've really not had before and that we think is exciting particularly for oncology where cancer cells mutate and a certain drug might work for a while, but then the cancer patient goes out of remission and the cancer returns because it mutates around the drug. And so we really know that the field of cancer requires a very broad suite of biomarkers to really knock it down. And we're committed to knock it down and that means we've got to be really strong with planar. And so when we roll out SP-X for oncology, it's really rolling out our planar strategy for oncology.
Mark Massaro: Great. And if I can seek one last one. It seems to me that Simoa could have some interesting applications and point-of-care in feature diagnostics. Can you give us a sense for maybe the appetite or maybe some of the momentum you might be having as you think about incorporating Simoa to the point-of-care?
Kevin Hrusovsky: It is interesting that you know when I first joined Quanterix, anyone I talk to a point-of- care particular from an investor's standpoint, they became very alarmed because there hasn't been a lot of point-of-care success. But I would say that Abbott has been particularly successful with i-STAT and building a franchise and we've continued to nurture a very strong relationship with Abbott and believe in them very much now. But we use partnerships to get into point-of-care versus doing it alone. My view is that we would probably put a lot of emphasis on making sure we research out those partnership opportunities first because there's already a lot of ideas where sensitivity which is the earliest form of the disease, the earliest form of anything that happens can see earlier with sensitivity. That's best suited to be out by the patient. So at the highest level, we know that getting the sensitivity in the point-of-care setting makes a lot of sense and there have been a lot of attempts to do it. I think it's important for us to do it very credibly. So I think there is a lot of opportunity for point-of-care to democratize sensitivities further. Even if you look at the neural landscape around concussions you know we have a lot of players today that they get pulled out of the game or even soccer players that they think they've got a concussion but they're not sure and so there's a lot of protocols been implemented. There were 6 kids actually killed on the football field last high school level they were put back in the game because they thought that they didn't actually experience a concussion when they had experience that they had what's called second impact syndrome and they died on the field. So we know that a point-of-care device for concussion as an example could have a lot of promise. But that promise is not what we're about with investors, we want to make sure we systematically translate that market opportunity into some kind of methodical way to bring the right risk investment return profile to that opportunity and partnerships could be a way to accelerate a good path. So I would say we're not ruling out any kind of pathway. Getting the rights back have giving us freedom to go any path we want. But I would say, we do think partnerships can play a pretty important role here.
Mark Massaro: Great. That's it for me. Thanks guys.
Kevin Hrusovsky: Thanks Mark.
Operator: [Operator Instructions] I'm showing no further questions at this time. I would now like to turn the call back to Kevin Hrusovsky for closing remarks.
Kevin Hrusovsky: Great. Thank you very much. We remain very excited about the opportunity and we continue to want to manage it with what we call diligent conservatism. So please you know if you want to learn more about our technology and our company, feel free to look at our website. We also will be sponsoring the PPH over in the Netherlands to kind of further advance the overall proposition of third party peer reviewed science. And so we do appreciate all your support and look forward to talking to the end of Q4. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.